Operator: Hello and welcome to the Randstad First Quarter Results 2025 Call. My name is Andy and I will be your coordinator for today's event. Please note this call is being recorded and for the durations of the call, your lines will be on listen-only. However, you have will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to your host Sander van't Noordende, CEO to begin today's conference. Please go ahead sir.
Sander van't Noordende: Thank you very much Andy for that kind introduction and good morning everybody. I'm here with Jorge and our Investor Relations team to share our Q1 2025 results. We've made a solid start to the year. Our strategic moves increased commercial activities, continued focus on cost and operational agility are paying off. As a result we were able to protect our bottom line with an EBITA of €167 million and an EBITA margin of 3% for the quarter. While we did see some encouraging signs across some key markets, trading conditions remain challenged in many markets, resulting in a 4.2% revenue decline, and we were pleased to see continued growth in Spain, Italy and Japan, where our investments in growth segments such as digital and skilled trade are showing results. We see further stabilization in North America, while in Northern European countries and France, business conditions remain challenging, especially in perm and the broader automotive sector. From an industry point of view, we saw growth in logistics and financial services and automotive is obviously the most challenged one these days. If we look ahead to Q2, I would say, first of all, activity trends in April were in line with Q1. However, it's clear that macroeconomic uncertainty has gone up, which is limiting visibility. Geopolitical factors, including the evolving landscape of international tariffs are contributing to an uncertain environment for both clients and talent. And, therefore, it's too early to say with any certainty what impact this will have on our markets and on our future performance. Nevertheless, we do what we always do. We stay close to our clients and execute our field steering principles to adapt to the evolving client and talent demand, so that we are protecting profitability, whilst maintaining our disciplined approach to investing in our growth segments. Finally, tomorrow we're hosting a Capital Markets event to update you on the progress against our partner for talent strategy and we will share how we deliver specialization and experience at scale through the Randstad talent platform as we become a digital-first company. So in summary solid start in a challenging environment. We're navigating the uncertainty with operational rigor and agility. CEO in London are online tomorrow for our partner for talent update. Jorge over to you.
Jorge Vazquez: Thank you Sander, and good morning, everyone. Just in February literally two months ago, during our Q4 publication we noted stabilization and we discussed the actions taken to position us stronger for the start of the year. Reflecting on Q1, the year continued no differently than we flagged in February with signs of stabilization in some of our markets as the decline rates continue to moderate through the quarter. Our actions did prove important for the start of the year. But, of course, we are mindful of the current uncertain environment recurring us to already show preparedness, and like Sander just highlighted managing on actuals. We continue to steer daily and weekly and adapt our actions where necessary. Looking at our overall performance. Overall organic revenue declined by 4.2% year-over-year, an improvement versus the decline seen in Q4 2024. Importantly at consolidated level, our gross profit and OpEx were aligned allowing us to protect relative profitability despite the lower top line. Now let's dive into the regional performance starting on page 7 and starting with North America. In North America we saw continued sequential improvement this quarter. In the US, in particular, our Operational business was down minus 2% for the quarter but it returned to growth in March, continuing to outperform the market in its part. We continue to see the benefits of our transformation and we look forward to sharing more like Sander just alluded with you tomorrow. Encouragingly though, Digital also turned the corner, returning to growth within the quarter one of this year. We do see businesses though still taking a much more cautious approach when it comes to the Professional Solutions and permanent hiring still remains subdued, declining 19% and minus 15% respectively. In this low hiring environment though, our RiseSmart business did well growing double-digit again this quarter. If we look north in Canada, we saw decline rates easing compared to previous quarters and we continue to focus on efficiency and market alignment. The EBITDA margin for North America came in at 3.2% this quarter, up 90 basis points year-over-year, showcasing adaptability and transformation progress. Moving on to Europe, and especially, Northern Europe, starting on slide 8. Northern Europe remains challenging, the only region where growth or rate of decline did not improve. Here the uncertainty surrounding the automotive sector continues to weigh-in in particular. In the Netherlands, growth sequentially improved from minus 7% or from minus 10% to minus 7% in Q1 but the environment remains volatile. Operational was minus 6% for the quarter improving versus last quarter as we converted new clients into revenue. Professionally or Professional, excuse me, organically excluding Zorgwerk, slowed to minus 14%. And here we see a combination of a broader slowing market and the impact of the freelance legislation coming into effect and to be still fully embedded in Q2 onwards. On the other hand, we are actively reshaping our portfolio, focused on specialization and growth segments and in particular in healthcare with Zorgwerk acquisition, building the leaders already in the Netherlands. Our profitability improved year-over-year reflecting mostly the acquisition of Zorgwerk. If we look at Germany, the economic environment has continued to be difficult and remain unchanged and our growth rate notched down a bit sequentially to minus 10%. Here the automotive sector continues to be under pressure and we continue to see elevated idle time costs. In Belgium, we'll leverage the strength of a well-diversified portfolio. We saw a sequentially slow down of our Operational business minus 1%, facing primarily tougher comparables. Professionals, on the other hand, has improved sequentially and one of our main examples where investments in specialization start to pay off. EBITDA margin was a sound 4.6%. If we then look at the other Northern European countries, let me just break it down. Switzerland is a plus 6% and Poland at plus 4% but the Nordics does still remains very challenging. EBITA margin came in at 1.4% and we will continue to work to improve it quarter-after-quarter. Moving on now to the segment Southern Europe, UK and LatAm on slide 9. And here let's start with France, where we saw a slow start of the year with decline rates is moderating throughout the quarter. OTS, our Operational business growth was down 6% ahead of the market but automotive is weighing its impact. Our transport, logistics and manufacturing continue to improve sequentially though. Professional was down minus 16% sequentially stable and Digital is also in decline given its exposure in particular to the broader automotive sector. Idle time and bench here especially on the digital business weigh on the gross margin. The EBITA margin was 3.7%. And as you can see and we talk about more in -- later in our one-offs we are taking action to improve it already this quarter. Italy saw solid growth and we see momentum continuing. Operation was up 6% this quarter and we continue to ramp up investments in growth segments such as IT, healthcare and skilled trade units. Despite investments, Italy still shows a very good profitability level at 5.8%. If we look south Iberia, Iberia stabilized at a high level growing 4% this quarter and Spain showing robust growth with a 6% increase year-over-year mainly driven by strong performance in its operational and enterprise business, supporting clients increased demand. Again here, we remain investing in growth segments with many opportunities to continue to capture growth. If we then look at all the other countries in the region, revenue and profit performance were mixed. U.K. level market continued to soften and we were down 40%. But in Latin America, Brazil is profitably growing at 6% offset partially the weakness of Argentina, which leads us to the last region moving on to Asia Pacific on Slide 10. The Asia Pacific region continues to recover. Japan demonstrated solid growth combined with strong profitability, a good example of the impact of lean on specialization. We continue to see our investments from the last quarters paying off and our digital specialization is now growing at 16% and consistently breaking our upwards quarter-after-quarter. Here we are ideally positioned to support clients and talent in the clear candidate scarce market. Australia and New Zealand improved sequentially declining now 7% in the quarter slightly better than Q4 2024. India grew 8% starting the year well and setting us up for the rest of the year. Overall, the EBITA margin for APAC for the region was at 4.3% in the first quarter showing strong operational discipline, while most important continuing to invest for further growth. And that concludes the performance of our key geographies. So let us now walk you through the group financial performance on Slide 12. But first, let's look at it from a specialization point of view on the right-hand side of the slide. So, operationally, typically being early cyclical continues to progress despite automotive weakness at minus 3% revenue growth. Last quarter was minus 4%, with diverging trends depending on where each market is. Professionals declined 9% and we saw sequential improvement in digital and enterprise to minus 5% and minus 4% respectively. Just to remind you OTS or our operational business makes up approximately 50% of our gross profit, while the three specializations make up the other 50% already. Now we'll cover gross margin and OpEx later, but the important thing here is that they have aligned as we enter 2025. Therefore the quarter underlying EBITA was €167 million with a margin of 3% similar profitability level margin as last year, while still seeing top line declines showcasing strategic choices made and disciplined execution as Sander mentioned. But now let me unpack some of the other items net income. Integration and one-offs were €18 million this quarter and although not as elevated as in 2024, we continue to rightsize and future fit our organization and take action primarily in Northern Europe and France. In the amortization and impairment of intangible assets, nothing really relevant this quarter regular treatment of the acquisition of Zorgwerk, and the net finance costs in Q1 were €19 million in line with higher net debt position. The effective tax rate was 29% impacted by the low taxable income following change in profit mix and lower earnings. For 2025, please note we do raise our guidance slightly to 28% to 30%, including the expected impact of changes in tax – the corporate income tax in France. Adjusted net income was €103 million. And with that let's turn the page and look at our gross margin bridge on slide 13. So going into more detail into gross margin. Our gross margin came in 90 basis points below last year driven like in past quarters by business and service mix. It was slightly ahead of our expectations impacted by better-than-anticipated RPO and Perm. Year-on-year temp margin is still impacting 50 basis points reflecting underlying mix and idle time as just discussed before. Perm was still subdued benefited from an additional money this quarter and this month -- in the last month of March. Compared to last year Perm had a negative impact of 20 basis points on the overall gross margin as you can see in the chart above. HRS was also impacted by the divestment of Monster, partially offset by the growth in RPO that Sander mentioned earlier. Overall HRS still has a negative impact of 20 basis points which now brings me to the OpEx details on slide 14 and remember this one is sequential not year-over-year. Our underlying operating expenses came in at €925 million a decrease of €18 million sequentially. And as mentioned in the previous calls, we've made significant efforts last year to structurally address our cost base both by becoming more efficient in delivery and in particular from my perspective by addressing the indirect costs that represent approximately 35% of our cost base. This results today in an organic decrease of 6% year-over-year €59 million lower than last year directly aligning with a 6% organic decline we saw in gross profit. Please note these results of OpEx are net of protecting our strategic investments and our strategic agendas and we'll discuss more tomorrow the investment in our strategic agenda which will allow us to position the business for more profitable growth and to improve its cost structure. This resulted overall in a recovery ratio of 68% for the quarter clearly in line with our steering principles. And with that in mind let's move on to slide 15 which contains our cash flow and balance sheet remarks. Our free cash flow for the quarter was a positive €59 million reflecting working capital management and partially a refund of prepaid tax. DSO was 55 days up – excuse me, 0.4 days sequentially and the client mix continues to put some upward pressure in line with the normal cyclical pattern, which we do expect to normalize as recovery continues. Overdues please note and write-offs remain at historical lows. Our leverage ratio remains unchanged therefore at 1.6 and we have paid our dividend at the beginning of April. And now to the slide on the outlook on slide 16. As a start Q2 2025 is an extraordinary light seasonal quarter, especially, in Europe in terms of working days and holidays such as Easter and for example the Dutch Liberation Day holiday. We will have approximately 0.5 working days less and in particular in Northern Europe two days in the quarter both year-on-year and sequentially. What do we see in terms of business momentum let me start with April. The early signs -- and Sander alluded to this, this the early signs we see into Q2 show a similar exit rate in line with March. We are cautious but despite all the macro volatility with associated limited visibility we have helped to see the impact on volumes and activity. As Sander said, we stay close to our clients but at the same time we are prepared for different scenarios to ensure agility and reaction. As always we draw on our fostering principles and disciplined execution. Moving on Q2 2025 gross margin is expected to be modestly down sequentially mostly reflecting the seasonal impact and mix. Operating expenses are expected to be broadly stable. So, to summarize let me wrap-up Q1 and how we enter into Q2. We prepared in 2024 to enter stronger for 2025. We saw the start of the year gradually progressing through the quarter with signs of stabilization in some markets. We start seeing the impact of our strategy positioning the business for profitable growth and to improve its cost structure. And in light of recent uncertainty, we remain even more alert focused on field steering and doubling down on scenario planning. And with that we conclude our prepared remarks and we welcome any questions from the line.
Operator: Thank you. [Operator Instructions] We will take our first questions from Remi Grenu from Morgan Stanley. Your line is now open, please go ahead.
Remi Grenu: Morning gentlemen. If I may can we start on tough questions or discussion around the tariff situation. So, just interested in hearing what you have to say on your discussions with your clients, currently, you expect that this could have a negative impact on volumes in any part of your business? I think one of your competitors to wait and see mode and baking into their Q2 guidance, some weakness in permanent recruitment and RPO because of that situation. So, just wondering if you are seeing the same situation and if you've made the same assumption regarding Q2, especially on the gross margin side? And within that same discussion, if you can compare that to the discussion you had with clients back in 2018 when we had the impact of the tariff from the first Trump administration and whether this back then resulted in an impact on your business in any specific end markets?
Sander van't Noordende: Thank you, Remi, for that question. I mean let me first say chart is a little bit broader. Yes, there is the tariffs and we'll talk about that. But I would just also emphasize that the broader economic and geopolitical environment is very dynamic and creates -- there's a lot of moving parts and that creates uncertainty. So, it's not just tariffs that we're talking about. If we look at tariffs it's, -- Remi you have to look at it at three levels. First, of course, there is the clients that are directly impacted by tariffs. And where you think about automotive and the broader manufacturing industry. If we have seen one place where we have seen some impact, it's automotive and you have seen the news reports of some of the automotive companies, specifically here in Europe of stopping experts or reducing production volumes. So, we have seen some impact there. Broader than that we have seen very limited impact I would say. And you do have to keep in mind that in this manufacturing industry, everything ultimately will depend on what the level of the tariff is in that country what company what are the supply chains of the company. So, this is a very granular situation. And at this point in time, it's very hard to say what the exact impact on all those individual clients will be. Then there's, of course, the 90-day period. Will there be -- there are negotiations will there be outcomes of negotiation what will the outcome be? So, too early to say what the exact impact will be on those particular clients. The second level that you need to see this at is obviously, the broader business confidence and there is the tariffs, and the broader environment, as I already alluded to. And obviously, that environment is not very helpful for creating certainty in our clients' minds in terms of policy, direction and economic environment. So clients are indeed, I would say on the fence, in terms of making their bigger decisions, whether it's investment decisions in physical assets, in technology assets, or in people assets and that comes to us and that's hiring. So the overall uncertainty doesn't help that, so clients are on the fence. You have to also keep in mind by the way that, the hiring levels that we are speaking of these days are already at a relatively low level. So some of the hiring levels in some parts of the industry are back at the level of 2015, 2016. So we're already operating on a relatively low level of hiring. So that's something to keep in the back of your mind. The third level obviously that you that might be impacted as consumer confidence and what does that mean to the overall economy. And I would say that is, let's say business as usual for us at Randstad, because that's where and that's how we do business here. So the bigger question maybe is also what do we do as Randstad? And of course, we focus there where we see growth opportunities. We have identified our growth segments, in logistics, in skilled trade, in Randstad operational, in health care, in finance, in engineering, in Randstad Professional, in Randstad digital all the scales for AI for user experience, consumer experience, et cetera. Our RPO business is tracking nicely these days because we have attracted quite a few new clients. And as Jorge said, our outplacement business is also doing well. So the name of the game is focus on the growth areas, stay close to the clients, to make sure we are there with them to see what's happening in the market and to define strategies for them to respond, when it comes to their labor force. Because obviously, there is a downward risk to all of this, but sometimes these situations also create opportunities where clients say, well, I may not be ready to hire, let's say, on a more permanent basis, but I am ready to hire on a temporary basis. So that's sort of the name of the game around tariffs. And again, I would say, the broader macroeconomic and geopolitical environment.
Jorge Vazquez: You had a question on margin Remi. So I think Sander alluded to it 2018. I mean, I think 2018, the starting point is very different. I mean, at the beginning, or in 2018 we came from a 10-year growth spur that then indeed came to a pause. If you look at Sander just alluded to it the hiring levels today are very different from the hiring levels of 2018. The penetration rate today is actually much lower than the penetration rate of 2018. So it's a very different starting point. But then on the margin, I think you asked okay how do you see, and is that factored into your expectations? I think, what we're now guiding for in terms of margin on one hand is reflecting exactly what we see. So a little bit of the reversal. So we were let's say, surprise somehow, with better than expected the perm in RPO in Q1. It's a light quarter when it comes to the traditional temporary business. So that gave a bit of an uplift in Q1. As we now enter in Q2, we factor in a little bit of reverse of that. Also the two days or let's say, the last working days in Q2, but increasingly as well, the weakness we see in automotive. So this combination brings us to a lower gross margin in Q2 than in Q1, exactly what we see today.
Remi Grenu: Understood. Thanks very much.
Sander van't Noordende: Thanks, Remi.
Operator: Thank you. Our next question, we are taking from Suhasini Varanasi from Goldman Sachs. Your line is open. Please go ahead.
Suhasini Varanasi: Hi. Good morning. Thank you for taking my question. It looks like if I had to take a look at the growth by month in the quarter in 1Q, March was probably a little bit better compared to what you talked about in terms of exit rates in January. Can you maybe clarify that and also give some color on what actually changed through the course of 1Q? In terms of verticals or by regions what improved? Thank you.
Jorge Vazquez: Yes. Suhasini, we normally don't disclose the exact growth rate but let me just give a little bit of color to help you there. So indeed when we last spoke in February at the end of February, we had given basically the entry level into Q1 around 5.5% so similar to Q4, as we finished the quarter at a higher – at a better decline rate, let's say 4.2, clearly we've been progressing throughout the quarter. If we then double-click into that, we see the United States making the bigger steps. We saw a broader operational business already in growth in March. And we also saw for instance our digital – the Randstad digital specialization in growth already through the quarter. So we see progressing there and then depends a little bit region by region. But in general some key markets progressing enabling us to enter April, already with a better rate than the quarter rate in 2025 in Q1.
Suhasini Varanasi: Thank you. It's very surprising actually that the US is the region that saw the most improvement in light of the tariffs. I suppose that points to what Sander mentioned earlier, the fact is the clients are ready to hire temporarily but not on a permanent basis? Is that the main reason?
Sander van't Noordende: No I wouldn't say that Suhasini. I would say it's early innings in all of this let's say – and it's every day things have gone up and down, the tariffs were there, they were not there, there is a pause. So it's sort of – it's a it's early days. But of course we have now across our full business and we'll talk a lot more about that tomorrow our digital marketplace, which is obviously helping in terms of fulfillment et cetera. But we'll talk more about that tomorrow.
Suhasini Varanasi: Sounds good. Thank you.
Operator: Thank you. We will take our next question from Andy Grobler from BN Paribas. Your line is open. Please go ahead.
Andy Grobler: Hi, good morning. Can I just start with depreciation, which came down quite sharply in the quarter both in absolute terms and as a proportion of revenues? Could you just talk through what drove that decline and what your expectations are for the full year, please?
Jorge Vazquez: Hi, Andy. Good morning. It's Jorge. It's actually quite stable. I think it's just basically the effect of the divestment of Monster. So that is basically the difference. So it will be stable through the year.
Andy Grobler: Okay. Brilliant. And if I could just follow up on RPO, which Sander mentioned earlier, which was strong. What – to what extent is that you winning clients relative to the broader market? And where are you doing well from a geographic perspective?
Sander van't Noordende: No, so let's say, I would say in general our enterprise team is doing a good job on a number of fronts. First of all, in terms of winning new clients and we have had some great wins in life sciences which has been a focused industry for us. We've had a good win with Microsoft on the candidate services. So we have had a good -- we talked a couple of quarters by the good pipeline. Some of those wins have definitely come through. Then the other thing is, we're embarking clients on our enterprise operating system. So we are improving productivity and fulfillment for those clients as well. And then last, but not least, we're ramping up our presence around delivery in India which is also helping of course in our cost to serve. So, all in all, I would say very encouraging progress by our team and enterprise.
Andy Grobler: Great. Thank you, very much.
Operator: Thank you. We will take our next question from Rory McKenzie from UBS. Your line is open. Please go ahead.
Rory McKenzie: Good morning, Rory here. On the gross margin outlook, thanks to the explanation on how the strong RPO affected the mix. But can you just talk through how the temp pricing idle time and mix evolved from Q4 into Q1 and then what you expect for Q2? And then just as a follow-up, what I'm trying to look at the kind of temp volume versus price mix impacts, I saw that you restated a number of temp workers from last year. I think it increased by about 10,000 to 568,000. So what was that change please?
Jorge Vazquez: Rory, hi. Good morning. I mean, I would say in terms of pricing, it's broadly stable. And if you look in general our temp margin through the year, you'll see just a more regular seasonal pattern from Q1 into Q2. So, I would say, there's no significant let's say changes between one and the other. And in terms of mix, I don't expect basically a significant changes -- is going to have a seasonal uptick from Q1 into Q2. I want to be clear so it's not only the RPO bid, we had both an RPO and the perm so it's more the fee business is typically higher in Q1 and it was slightly ahead of our expectations and therefore that basically contributed to a higher better gross margin in Q1.
Rory McKenzie: Thank you. And the restatement of your temp volume number?
Jorge Vazquez: Which -- I don't know, I don't know what we're talking...
Rory McKenzie: On Slide 20, you say you restated the number of employees working on the take it off-line...
Jorge Vazquez: Rory, there has been something already for more than a year. I mean we've been talking about it for a few quarters now that was basically reharmonizing or realigning to our specialization at the beginning of last year. So there's no restatement in this quarter.
Rory McKenzie: Okay. Thank you.
Operator: Thank you. We will take our next question from Simon LeChipre from Jefferies. Your line is open. Please go ahead.
Simon LeChipre: Good morning. Starting on your cost strategy. You mentioned top line trends improving during the quarter, notably driven by some key countries showing, but you still cut headcount by 2% quarter-to-quarter. And I think was just 1%. So, could you perhaps give us some context on the taking headcount a bit more in Q1 and Q4 showing some encouraging signs on top line? Thank you.
Sander van’t Noordende: It was very difficult to hear you Simon. Did I get it right that the question is how do the headline trends relate to the revenue trends?
Simon LeChipre: My question is did you cut headcount by 2% in the quarter despite including…?
Jorge Vazquez: Yeah, I understand Simon, sorry it was difficult -- the line is breaking up a little bit. Normally Q1 in our industry is a seasonally low quarter. So as we come from a quite high seasonal quarter in Q4, we try to make sure that we enter the year as a line that's possible from a cost base and gross profit perspective. And, therefore, in Q1 we reduced let's say field capacity as we get ready for that lower quarter of the year. Going forward, part of it we always capture in terms of productivity. So we try to make sure we gain productivity as we go throughout the year. The other part we can always choose to ramp up or ramp down as we see both seasonality and/or growth going through the year.
Operator: Thank you. We're now taking our next question from Marc Zwartsenburg from ING. Your line is open. Please go ahead.
Marc Zwartsenburg: Yeah. Thank you. Good morning, everybody. Two left for me. First on the SG&A guidance, Jorge, can you give me a bit of an indication what kind of effects you have put in there. So is the US dollar already fully reflected in there at 1.15 [ph], or is there even a bit of upside let's say in a positive side that the OpEx EBIT comes down a bit further? That's my first question. A bit linked to the second one, so I continue with that one. Thinking about OpEx maybe a bit later also to Q3, Q4 and operational leverage and margin protection. How are you -- because I heard you talking about these scenarios you're currently working on in case the tariffs put US in a recession and volumes come down, accelerate, et cetera. Would we then see still that you can protect your margin by becoming a bit more aggressive on the SG&A side, or how should we look at the margin maybe a bit more throughout the full year...
Jorge Vazquez: Yeah. So let me start with the second question Marc and let me give you a little bit of color. You know we don't give guidance per se, but I think -- I mean we've made a big effort in making sure we work let's say entering the quarter in a stronger position. So we kind of at least protect profitability. As you saw we basically start Q1 with approximately €60 million savings year-over-year. Of course, last year we started adjusting our cost base down throughout the year. But still it does give us some headroom into the next quarters in terms of what we can expect in terms of savings over the year. If we do find ourselves in a situation that we need to gear that up then we always have a degree of flexibility in built into our cost base. And, furthermore, I mean we've been always striving to stay within our range of adaptability. That's exactly what we will do throughout the rest of the year. So that is basically how we look at 2025. The scenarios, yeah, it's everyone's question obviously. What we can do is basically making sure that we're still weekly -- this is daily, but weekly with all our top countries and we have prepared scenarios in terms of actions to be taken. In terms of the -- I mean -- go ahead Marc. Yeah.
Marc Zwartsenburg: Yeah. That combined with the indirect cost savings would mean that you can even protect your margin in the second half in case things gets worse. Is that how we should look at it?
Jorge Vazquez: Say that again Marc, sorry.
Marc Zwartsenburg: Line of thinking. Now that combined with the overhead savings and the indirect cost savings already put in place, means that we should see some margin protection possible, even if things get worse. Is that what you're going to say?
Jorge Vazquez: Yes. We will -- that's how we enter in Q1. It's obviously what the tone we want to set for the year. It's impossible to guarantee, but that's how we're looking at the year.
Q – Marc Zwartsenburg: Okay. Clear.
Jorge Vazquez: And the FX, I mean I would say, at the moment year-to-date, it's broadly stable. So there's nothing that we are basically factoring in a little bit into Q2. But as we realistic, it's super volatile. Do remember one thing. Our cost and our revenues, go hand-in-hand in the same currency. So let's also kind of keep a capping for Randstad business model the impact of FX. Yes.
Sander van't Noordende: Thank you, Marc.
Operator: Thank you. We will move to our next question from Simon Van Oppen from Kepler Cheuvreux. Your line is open. Please go ahead.
Q – Simon Van Oppen: Yes. Thank you for taking my questions. Two, if I may. First of all, can you please give some insights into the cash taxes for the year? And secondly, could you please give some insights into the development of your MSP business? Thank you.
Jorge Vazquez: Right. So in terms of cash, so you see an impact of our estimated tax rate to go up this year. I think most of the factors are known, Simon. So on one hand, they have the full implementation of Pillar II. We do have let's say non-supportive mix, let's say more profit in high-level jurisdictions, than in lower level. But more important I think that's basically what we've been talking a lot about in the previous call, and with other competitors. The temporary increase in the French corporate income tax. If we look at all of this, our guidance is now 28% to 30% factoring all the things, we can see in our business today.
Sander van't Noordende: Yes. With respect to our MSP business, we're pleased with how the business is developing. Also there we've had a few good wins, this quarter. What is also good to see that most MSP deals have an element of direct sourcing, which is of course, a good thing for us at Randstad. And the other thing is, it's not directly MSP, but we are working of course with our Workday Alliance to approach Workday clients to have direct access to their acquisitions of those clients, which is also a very interesting element in the game.
Q – Simon Van Oppen: And what was your growth rate for MSP, in the first quarter?
Jorge Vazquez: We don't break that down, Simon. So we'll break that down. And also again, like Sander alluded to it, MSP is as important in terms of growth rate, but even more important direct sourcing of it.
Q – Simon Van Oppen: Thank you.
Operator: Thank you. It appears there are no further questions. So I will hand you back to Sander for any additional remarks. Please go ahead, sir.
Sander van't Noordende: Thank you, Andy and thank you all for joining the call today. Before we wrap up, let me thank all 600,000 talents and Randstad people for doing again, a great job this quarter and we look forward to seeing you all tomorrow in London or online for our update on our partner for talent strategy. See you there.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.